Operator: Thank you for joining Forward Air Corporation's Fourth Quarter 2019 Earnings Release Conference. Before we begin, I'd like to point out that both the press release and the webcast presentation for this call are accessible on the Investor Relations section of Forward Air's website at www.forwardaircorp.com.  With us this morning are CEO, Tom Schmitt; and CFO, Mike Morris. By now, you should have received a press releasing announcing our fourth quarter of 2019 results, which was furnished to the SEC on Form 8-K on the wire yesterday after the market closed.  Please be aware that during this conference call, we will be making forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements, among others, regarding the company's outlook for the first quarter and fiscal year of 2020, the expected impact of growth and strategic initiatives, the expected impact of organizational restructuring, the expected impact of the FSA, OST and Linn Star acquisitions and those forward-looking statements identified in the presentation.  These statements are based on current information and our current expectations. As such, they are subject to risks and other factors that may cause actual operations and results to differ materially from the results discussed in the forward-looking statements.  For additional information concerning these risks and factors, please refer to our filings with the Securities and Exchange Commission and the press release and webcast presentation relating to this earnings call. The company undertakes no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise.  And now I'll turn the call over to Tom Schmitt, CEO of Forward Air.
Thomas Schmitt: Thank you, Justin, and good morning to all of you on the call. We are in a tough stretch on a very robust and clear journey. We've seen both a choppy environment. And also, we have made very conscious moves in the fourth quarter and throughout the year, on-boarding new business as we were just approaching peak, also integrating 3 acquisitions. So with those moves and the environment together, the result for the full year is a 7 and an 8, 7% growth, 8% margin, not quite the medium-term double-double yet.  With precision execution, I'm pretty confident, I'm actually very confident we are working towards getting there though, and we will not confuse efforts with results.  What gives me that confidence? Well, let me look back, 2019 was my very first full year with my Forward Air teammates. We did set up a clear strategy, which we unveiled on the Investor Day in New York in June. When it's bigger than in box and it matters, think forward, we wanted to make sure that we drive this strategy both organically and also inorganically with a very, very clear, precise commercial and operations lineup. And our precision execution processes in everything we do behind it, resulting in that medium-term double-double destination with double-digit revenue growth and double-digit margins.  Then what we did throughout the year was executing the heck out of our strategy. Inorganically, with 3 acquisitions in our growth businesses, truly first-class companies in my eyes and, most importantly, in the eyes of our customers. One acquisition in Intermodal, OST in Baltimore, great team, I got to see, and 2 acquisitions in Final Mile, FSA Logistics and Linn Star, many of the teammates there I have met also.  In Final Mile, we went from 8 markets to over 80 markets in 2019 with a business that now has a run rate of $200 million. So if you remember, I did say several times that no where it's written that you shall do more than two acquisitions a year. So we are accelerating inorganically.  Organically, we also show growth, strong double-digit growth in pool, our Solutions business, where also our profit year-over-year improved. And in fact, we could have driven that number higher, and we made a very, very conscious decision to onboard new business, open up new locations as we were approaching peak in pool, which did hurt a lot in the short term, and it's setting us up very, very well for the long term.  We are stretching pool. We have the same high expectations in that business as we have in all other businesses. We also showed strong organic growth in Final Mile after the acquisition of FSA. And our go-forward initiative within our core LTL business is starting to bear fruit, showing incremental business in new verticals, notably, 3PLs, in addition to our core Airport-to-Airport customers, which will always be a remarkably important core to us.  And then finally, we did line up for maximum synergy, and that's happening most visibly with the creation of our Expedited Freight segment. Over the road, Truckload and LTL are collaborating much more tightly, commercially and operationally. We are selling Truckload outbound to LTL on the backhaul or the other way around. And locally, we are also starting to drive synergies between the LTL pickup and delivery piece and the final-mile routing.  So the way we hold product, the way we route product between those 2 will be very, very much in sync. And it's key for us in that Expedited Freight business to nail those synergies with rigor as that's exactly what drives the potential of a double-digit margin in that new segment.  As I said, we are in a tough stretch of a very, very clear robust journey. And that clarity of that game plan and our rigorous position execution gives me tons of confidence that we are, in fact, on a very, very robust journey towards our double-double.  So having said this, I'm going to turn it over to our CFO, Mike Morris to paint out that colorful picture a bit more, especially also with a double-click on our new segment, Expedited Freight. Mike?
Michael Morris: Thanks, Tom. Before we go to Q&A, I would like to comment on our new reporting segment called Expedited Freight. During our third quarter earnings call on October 25, we mentioned that we were exploring a deeper synergy between our LTL and Truckload operations, which Tom described in his opening remarks.  As the quarter progressed, we continued this analysis and concluded that it makes the most sense to run LTL and Truckload as 1 combined fleet. To best implement this decision, we put new sales and operational leadership in place and effectively merged these business units.  This strategy will help drive organic growth, build linehaul density and lower purchase transportation cost within our LTL network. It will also complement our plan to further integrate Final Mile into our LTL operations, which will enhance pickup and delivery and terminal density.  Overall, the continued integrations of both Truckload and Final Mile will help lower unit costs at LTL, where we have the greatest opportunity for operating leverage. As a result of these changes, we have decided to report these operations as 1 segment since this is how we are running the business.  To help the financial statement user, we have provided 2 enhanced disclosures for expedited freight. First, we are showing greater revenue detail since this is now a $1 billion segment following the acquisition of Linn Star. Second, we're providing a new metric called network gross margin. The Truckload and Final Mile integrations will improve LTL operating leverage over time, but will also create a different gross margin and operating margin profile for this new segment.  Network gross margin intends to preserve visibility into our core LTL operating leverage by showing the leverage we are getting on purchase transportation, which as an asset-light provider is our biggest leverage opportunity.  As you can see on Page 5 of our earnings release, our LTL operations generated this leverage in the fourth quarter and improved network gross margin by 110 basis points. The reduction in the Expedited Freight segment gross margin and in our consolidated gross margin was driven by the acquisition of FSA, which is not in the prior period.  Finally, the historical information we customarily provide on our Investor Relations website has been modified to reflect this new segment reporting and will be maintained in this manner going forward.  With that, Justin, let's open the line for Q&A.
Operator: [Operator Instructions]. Our first question comes from the line of Todd Fowler of KeyBanc Capital Markets. 
Todd Fowler: Great. Tom, I guess, maybe just to start, when you think about the expectation for double-digit revenue growth and double-digit profit growth. Obviously, as you mentioned in the prepared remarks, kind of in a soft patch right now. Do you think that that's something that's attainable as you move through the back half of the year? Or does that get pushed out more into 2021? Just trying to think about the timing of how long you kind of see this -- the softness persisting? And when you think you can kind of get back to or start approaching what you've laid out as kind of the interim targets?
Thomas Schmitt: Yes. Todd, a couple of things. One is just a clarification. When we talked about the double-double in New York, it is a double-digit annual growth, and it's double-digit margins. So that's what we were referring to. We also -- we always talked about the medium term. I think right now, it's actually a perfect time to kind of illustrate why we call it the medium term. It's hard to predict whether it's the freight market, whether it's disruptions, like the one we're experiencing right now as in economy, as a global, actually, economy, not just the U.S. economy with the coronavirus. It's hard to predict kind of how fast precision execution will translate into the results that we know we're going to be having because you can have tailwind or headwind. Right now, we have a headwind coming our way.  So it's hard for me to look into that crystal ball and say -- Todd and say, it's going to be second half of 2020, or it's going to be 2021. What I am very, very confident in, if I look at the quality of the organic growth, when I look at the quality of the businesses that we are acquiring in our growth segments, Final Mile and Intermodal drayage, precision execution with the way we are looking at what we do is happening, that I know. So -- and this is where I can just say, I'm confident based on the track record that we're starting to establish that those actions will result in what we believe is possible. And that's what we articulated on the Investor Day. The timing is really hard to calibrate because, again, headwinds and tailwinds and even the source of those, you and I can both guess it, probably, part equally well.
Todd Fowler: Okay. Yes. No, that makes sense. And that's helpful context and thinking about kind of the near term. And then, as you said, the medium term, so I appreciate that. Maybe for Mike, with the new segments, we've had some good historical information or historical data on the margin profiles for the individual pieces that are now kind of rolled up into Expedited Freight. But as you think about that segment and the reporting freight segment going forward and some of the new mix that's in there, what's kind of realistic for -- in OR assumption for that business? Maybe, not so much here in the short term, but how do you think about the margin profile of all the pieces that -- now that you've combined those together? What's the right OR for Expedited Freight?
Michael Morris: Well, I think if you think about the second double in double-double, and this is reflecting back on what we said a bit during IR day. Deep inside, we would be striving for the LTL operations to be moving in the direction of an 85% OR. When you lay in Truckload, when you lay in Final Mile, including Final Mile acquisitions because this is going to be, I think, Tom called it, Godfather part 2, the CST trade redone in the final mile space, that will probably put that pressure of that to the zone of 10%. And then we'll just have to see how much operational goodness we can generate from the integrations that might lift that up.  Similar to the CST, the Intermodal segment, as we've talked about historically, inside, you have a margin profile that's greater than 10%. But when you layer on acquisitions, acquisitions, they tend to be dilutive until they're integrated, but when you do another acquisition, another acquisition for growth, it can kind of push that margin into the 10% range. I would be short -- that's the long answer to your question. The short answer is 10% or a 90% OR.
Todd Fowler: Okay. No, that -- all of that makes sense. That's helpful. And then, I guess, maybe just for a couple of shorter-term questions. If I've got kind of the comparisons right, it looks like revenue per 100 weight was still positive in the fourth quarter, but it was against a difficult comp. Can you talk a little bit about what you're seeing in the yield environment? And is that really where you're seeing kind of most of the pressure? I know that tonnages remain challenge, but if you could just kind of talk about expectations for pricing what you saw in the fourth quarter and then as you get into the first part of '20, that could be helpful?
Michael Morris: So why don't I go first just on -- Tom, on some of the math. And then if you just want to talk about the philosophy. Todd, actually, what's starting to happen, I think, you had given me some counsel on to be very clear about, which is, as we grow organically in 3PL and pursue heavier, denser shipments in more industrial type markets, we'll necessarily have lower yields on that because the market yield is going to appreciate the density. We have had a lot of growth in 3PL organically and a lot of initial success. And that is having an effect on our yield. So if our system yield, ex fuel, was up 1.3%, door-to-door was actually up, call it, 2% to 2.5%, but the growth in -- I'm sorry, Airport-to-Airport was up 2%, 2.5%, but the growth in door-to-door from a mix perspective, kind of pushed it back down to the numbers you see on the release. So it's in -- that's kind of the math that's going on, the core Airport-to-Airport was higher. There's no real actions to reduce price, just a bit of a mix shift as we grow organically in door-to-door in -- for the past quarter was relatively soft in an Airport-to-Airport environment.
Thomas Schmitt: So just to add, perhaps, a little bit more color around the philosophy for pricing, I feel extremely vocal about great companies are very disciplined when it comes to pricing. So are we. Now having said that, we have gotten -- this is where precision execution comes in, we've gotten much more intelligent about what's good business for us and our customers and what's not. So when customers that we work with very closely, including the domestic forwards who have been our core for a long, long time. When we identify with them or, for that matter, our growth segment for 3PLs, lanes and volumes that are good for them, where we are low in damages, high on time, fastest lines, we are telling them, you can earn more discount with more volume because that's good volume for you and for us. So we are extremely disciplined. We are also extremely surgical. So you can earn more as you spend more as a customer with us, but it is for a specific business that we know to be good news for them and for us.
Todd Fowler: That's great color. And like I'm not used to having people listen to my advice. So I appreciate you listened through all of that one. Just my last one, and then I'll turn it over. But -- on the first quarter guidance, obviously, you're getting the revenue lift from the acquisition. It doesn't feel like a lot of flow-through. Can you, Mike, maybe walk through a little bit of kind of the cost -- any specific cost pressures in 1Q, either that wouldn't be recurring, the kind of depressed the earnings or kind of how you're thinking about costs in the first quarter that might be -- that might start to balance out as you move through the year, and then I'll turn it over?
Michael Morris: Sure. So optically, in the first quarter, we are lapping the FSA acquisition, which closed in April of last year. And we have nearly a full quarter of Linn Star because it closed in mid-January of this year. So the revenue growth is being driven by acquisitive growth in Final Mile. We're doing a good job integrating FSA and starting to integrate with Linn Star, but we took an opportunity to grab some additional organic growth over the course of last year with FSA or kind of more hardcore integration is going to kick in this year. But we've got some transaction closing and some, call it, general distraction around the Linn Star acquisition. So we're not anticipating a lot of drop rate off of this Final Mile revenue growth, but we're very excited that in less than the span of a year, we went from a $40 million run rate to a $200-plus million run rate player in Final Mile.  We are anticipating some pressure in the freight markets. Frankly, we overestimated peak last quarter, and we're being a little more cautious in terms of our outlook. It does feel like there's more headwinds than tailwinds, particularly in the overall Truckload market, in the Intermodal market. So that pressure, we expect is going to continue to the earlier comment. I wish I had a crystal ball. Everyone's kind of pointing to the second half. Whenever it occurs, we're going to be pretty well positioned with the actions we've taken to grow the portfolio.
Thomas Schmitt: Todd,, if you look at it, and this is again where being surgical, and again, I use the term precision execution consciously a lot, help. We do know fairly well, when we have an acquisition, whether it was FSA in early 2019, OST in summer or now Linn Star, in the first few months, the initial revenue benefits do get eaten up and sometimes even more by the integration costs. So that is something that, Mike, as you said, that we're going to be experiencing in a good way in the first quarter. I mean the short-term payments for long-term gains. So that -- we will see that a lot in the first quarter. And then we did, in the pool business, add on a lot of new business as we were approaching peak that suppressed the profitability in the fourth quarter against a typical fourth quarter for pool and now you see the typical softness in the first quarter.  So again, this is when I go back to my remarks at the opening of the call, we are executing exactly what we set up to do, but that strategy to structure organic, inorganic, you're right now have a little bit of a compounding effect of onboarding new business in pool in fourth quarter, integrating our latest acquisition in Final Mile and then some of the headwinds that, Mike, that you talked about, and that's in totality adding up to us being somewhat, whatever you want to call it, less than inspiring or so in terms of our guidance for the first quarter, but we just want to be realistic because we do know surgically well, the effects of the actions that we are taking in the very short term.
Operator: And next in queue, we have the line of Jack Atkins with Stephens.
Thomas Schmitt: Jack?
Jack Atkins: So let me start here with Mike, is there a way to kind of think about what the -- when you kind of consolidate all the moving pieces together, what the kind of the current run rate margin is within your expedited transportation business? I mean I'm kind of coming up with about 10% currently, pro forma for the acquisition? I'm just trying to get a feel for what the current base is when you combine TL, LTL and adjust for these recent last mile acquisitions. Can you help us with that?
Michael Morris: Yes, sure. I just want to make sure I understand the question. So are you saying if you peer into core LTL, what's it doing? Is that the question?
Jack Atkins: No, no. I mean my question is, you're now reporting 1 expedited segment, right? And you've got...
Michael Morris: Yes.
Jack Atkins: And there's just -- we only have 1/4 of historicals and you made a couple of large acquisitions. So what I'm trying to understand is, what is the current sort of margin run rate on the business that you kind of have on a go-forward basis for expedited transportation? Is it about a 10% margin? Is it less than that? I mean because your goal is 10%, so I'm just trying to understand like where are we now? And like how much upside is there over the long-term as we try to move to 10%?
Michael Morris: Yes. I think it will follow up because LTL is still a big part of that margin. It'll probably largely follow the seasonality of the LTL margin that you've seen historically just knocked down a couple of points for the introduction of a large amount of Truckload and Final Mile revenue. That's kind of a near-term comment. And then as the integrations kick in, it'll lift it up.  So obviously, you're in peak here. And so, 10% feels pretty good. You might see some softness over the next couple of quarters seasonally, and then you start to walk your way back up. If that gives you some additional clarity.
Jack Atkins: Well, maybe, let me ask it this way. What is the acquired revenue from Linn Star that you're expecting to get out of that transaction?
Michael Morris: What we've said in our announcement is we expect Linn Star to run at about a $90 million run rate. And it has some seasonality to it as well. This is a softer quarter for the Final Mile, and then it kind of builds through the course of the year.
Jack Atkins: Okay, got you. That helps me get there. So let me kind of ask a similar question. When you think about the integration of Expedited LTL and Expedited TL, can you help us think about the synergy benefit there? I know there's opportunities on the purchased transportation side. But is there -- are there any sort of opportunities just in terms of back office synergies, sales force synergies? And how long will it take for those to really be realized? Is it immediate? Or would you expect it to take about 12 months?
Michael Morris: I think we're already -- so let me take it in pieces. I think we're already seeing benefits on the Truckload side. I'm going to start operationally, Jack. There's not a lot of back office here. Our back office is largely centralized in our shared service center in Tennessee. But on the Truckload side, the benefits became very obvious, very quickly, where you have these increased revenue opportunities, like Tom described, that are driving better linehaul density; lower cost per mile; better usage of assets like trailers; better recruitment, lower your recruitment costs, you're just recruiting to 1 fleet; better retention as you offer more diversity to the driver in terms of what their -- what routes they're running; larger overall fleet; the LTL sales force just to gain the Truckload sales force. So that was a pretty big lift. And what I really like about the way that our team is doing it. Jack, do you remember when Con-way bought CFI.
Jack Atkins: Sure.
Michael Morris: And the Freight business kind of didn't treat the Truckload business too nicely after that acquisition. The opposite is happening here. We are pursuing Truckload revenue opportunities. With the same vigor, we're pursuing LTL revenue opportunities. And there's an operational drive to it, where we're creating lanes we couldn't run before because both sides were afraid of coming back empty. And those lanes are being opened up, and that's creating these revenue synergies that I think are going to be very powerful while they simultaneously lower the cost per mile.  The integration of Truckload is clearly going to generate the most fruit sooner. Final Mile is going to take a little more time. That's out there is largely a dedicated model, but we're starting to push into integrated applications. And as we've talked about in prior calls, we're also able to offer the driver a synergy with respect to doing pickup and delivery for LTL freight, and pickup and delivery in the install with respect to final mile freight. That helps us recruit, that helps us get the best in the market, and that's kind of the secret sauce of being good at this. That will take a little longer, and we'll also [Technical Difficulty] prior period, its revenue wasn't nor was its claims. And so when you put them in the current period, you bring in their usual claims expense, and that's creating some optics of inflation as well.  With respect to the first quarter, I mean, this -- you know better than I do, this is a problem for trucking companies. And we are expecting continued inflation from carriers regarding the premiums on the towers that we have above our SIR. And with the growth in the business, we are predicting some headwinds as we bring on self-insured reserves. Linn Star, similar effect, as it comes in, it's not in the prior period, and so that will show up in our first quarter results.
Jack Atkins: So is that, call it, $12-ish million a quarter, is that kind of the right ballpark to kind of think about? Obviously, there are some things that can impact that and swing that around quarter-to-quarter. But is that sort of the new kind of run rate quarterly going forward to think about?
Michael Morris: Yes, that feels fair.
Jack Atkins: Maybe, higher with Linn Star even? Or -- I just want to make sure we've got that calibrated correctly in our model?
Michael Morris: Yes, I think that's a fair starting point. We're doing a lot in terms of our safety initiatives, in terms of our operational initiatives. It is a slower quarter. So we would expect to have less claims expense. But that's a fair starting point. And we just don't see any relief kind of coming in the markets where we do have to buy coverage above our SIR.
Thomas Schmitt: Jack, the one thing -- let me just add 1 piece here, because that's obviously a reality that we and everybody in the industry is coping with and needs to manage with. But the one thing I do want to emphasize, we're not audience sitting in movie theater seats, watching a movie play out, keeping our fingers crossed and hoping there's a happy ending. We are directors of our own movie, right? So when we see these things happening on the insurance cost, that's when we need to kick in synergies that we just talked about between TL and LTL, between pickup and delivery LTL and Final Mile, so that we actually take these kits and compensate them elsewhere, right? Even last year, in a very, very challenging 2019, if you take the reserve that we had to take, if you take some of the excess labor costs in the fourth quarter because we added on additional locations and business in peak, we -- if you look at these things, and we still came EBIT-wise close to 2018.  So we need to make up for these things. They are real. They hurt and then that's where you operationally and commercially have to look for synergies and make them a reality so that we actually compensate for those. So that's -- I want to emphasize, we're not the victim here. We're actually the director of our movie.
Operator: Next in queue, we have the line of Ben Hartford of Baird.
Benjamin Hartford: Tom, maybe just from a high level, I think, we understand what's going on in terms of volumes in January, you provided that number, Mike. But the lead into the start of Chinese or Lunar New Year, in January, it sounded like it was a little soft to begin with from a kind of a broader airfreight perspective. And then obviously we're in the heart of the Lunar New Year shutdown at the moment. And then we've got this coronavirus situation that's developing. So from a broader macro, maybe a specific airfreight perspective, Tom, could you provide a little bit of context about what's going on from a core legacy, kind of, Airport-to-Airport volume perspective? And any sort of commentary that you could provide about how quickly the factory output can come back up at this point in time? Because it sounds like that's obviously being kicked out. So any perspective there would be helpful.
Thomas Schmitt: Yes. Ben, a couple of big things. One is, I mean, our Chief Commercial Officer, Matt Jewell, and I, we just -- literally just talked before this call. The things that you and I are both reading in the papers, they are obviously real. I mean there's a lot of the airlines that stopped operating flights between China, and not only Mainland China, also Hong Kong in most cases and North America. And that's starting this week, more so than perhaps January, that's noticeable. So I would expect some of the traditional traffic that's coming via airfreight, we see a slowdown as we sit here and as we speak. I would expect something similar happening on the ocean side because obviously it's just a time delay, but the same impact over the next several weeks.  So less of an issue in January, very real as we stand and sit here. And then the last piece is the one that I just have to have some form of confidence in kind of people working extremely hard, figuring things out, including -- I mean, this is the first and foremost obviously obligation, making sure that everything is possible being done to help people get better and healthy as quickly as possible. So whether we're talking weeks and months, it's hard to say. The one thing from a positive perspective, Ben -- and that's also an opportunity we need to look at is, as and when we graduate past this virus, there will be opportunities that we need to tackle and we need to take advantage of catch-up because obviously there's slowing down or even halt of airfreight.  There's slowing down or even halt of ocean vessel shipments. At some point, there will be catch-up. Now when you talk about who should be going after opportunities for catch-up, it's people like us who are in the fast expedited business. So painful today, may take weeks, perhaps even, hopefully, not months, but this is where I hope that the concerted efforts of all the different agencies, industries mets in, all start kicking in. And then it's up to us to work with our customers very, very closely to look for ways to catch up the possible way.
Benjamin Hartford: And I guess in that vein, as you think about potentially volumes coming back into the network at some point in time from an expedite perspective. How do you think the network sits today from a service point of view? And maybe can you talk a little bit about the initiatives that you had underway with regard to owner-operator recruitment? There's been a bit of a rankle toward the end of the year with [indiscernible] that sounds like it's obviously stayed at the moment, but you've got that overhang. You've got the insurance issue that I think is pretty straightforward. But just from protecting the network and making sure that service continues to improve and you are positioned before that, can you talk a little bit about some preparation there?
Michael Morris: Ben, it's Mike. Why don't I give you a data point, then I'll turn it over to Tom. The owner-operator fleet is in outstanding condition. The network is operating very, very well. To put that in perspective, and then I'll turn it over to Tom, broker power, so the outside miles, if you were -- last quarter was 8.2% of miles versus 25.9% in the prior period. So a very significant improvement in the quality of the fleet. And I think we're pretty well ready to handle that expedited demand. But Tom?
Thomas Schmitt: Yes. And just -- I mean those -- when you have your ICs, the independent contractors, that actually know to work with us, and you have them predominantly and less purchase transportation, it obviously does have a double whammy positively. It actually lowers our cost. And secondly, and most importantly, it's people who know how to operate on our behalf and our customers, and that shows in service. We just had 2 of our larger conferences a week or 2 ago, AirCargo Conference and SCM, with many, many of our domestic forwards, international forwards, airline customers, 3PLs. Now this is probably anecdotally, but once you have 20 or 30 observation points from your largest customers, all pointing to the same message, that message being, we love the service that we're getting from you on our scorecards, your on-time shows at record levels, that's telling me that what you, Mike, just talked about in terms of these being ICs that know how to work on our behalf and our customers and the resulting service, they're in sync.
Benjamin Hartford: Okay, good. That's helpful. Mike, I guess, some of the incremental data on the LTL side is helpful. But if I look closely at this, with pounds per day down year-over-year, shipments down greater, but weight per shipment up, yields probably pressured on that to me, that kind of weight per shipment being up is a little bit of a tail in terms of progress on the expansion of the TAM. So can you talk, maybe, Tom, about some of the incremental sales. You talked about the integration of the sales force. But some sales efforts, some opportunities during the year as you move through the year, and how we should interpret this data as indicative of traction in terms of the efforts to expand that broader 3PL customer set through the year?
Michael Morris: Ben, just real quick. So just to give you a little more clarity on the folks on the call, our 3PL daily tonnage was up like over 100%. Weight per shipment was up 50%. Daily shipments were up 60%. Tremendous amount of progress being made in this initiative.
Thomas Schmitt: Yes. And this is an and, not an or. So I do want to emphasize very, very clearly, the traditional Airport-to-Airport business, the core customers that we have with predominantly domestic forwarders, we are going above and beyond to be on their support team, and frankly, almost on their pursuit team as they are going for more business. So we're putting more tools in their toolkit. That's not going away. That's a core, we need to keep.  And now getting Ben to your point, we've done tremendous strides. And you and I have talked about 3PLs and how they would be a logical vertical for us, especially as we focus on fast claims, especially as we focus on record low damage ratios and make sure we get that type of business through 3PLs. And that's what's happening more and more. Our fastest-growing customer segment is 3PLs, our fastest-growing customer is a 3PL customer. So what we talked about 1 year, 1.5 years ago is happening.
Benjamin Hartford: That's good. And then last one, in terms of the planning time frame of a GRI? Have you -- do you have any thoughts on that for 2020?
Thomas Schmitt: It's -- it's the same as always, which is this year and last year and next year, there will be Christmas and Easter into GRI, and they all happen to roughly be on the same schedule. So we're doing same thing. We want to provide maximum predictability for ourselves, and most importantly, for our customers, so they can plan and budget. So the GRIs, it's slightly different by mode. But they are -- if they're not contract-specific on a per customer basis, they tend to be in the first half of the year, slightly different weeks or, in some cases, even months. But we're going to get into the same cadence every single year, so that we can plan together with our customers.  And Ben, back to the previous points we made with Jack and Todd, because we increasingly understand what's good business for our customers and for us, there are ways that you can kind of save for as you spend more. So GRI applies; at the same time, customers and we can surgically work on volume discounts as we go into supporting them with business that's good for them and for us. But the timing is the same as last year, between February and May in all business units.
Operator: With no further questions here in queue, that does conclude Forward Air's Fourth Quarter 2019 Earnings Conference Call. Please remember that this webcast will be available on the Investor Relations section of Forward Air's website at www.forwardaircorp.com shortly after this call. You may now disconnect.